Operator: Good day everyone and welcome to the NorthStar Realty Finance Fourth Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Al Tylis, CEO of NorthStar Asset Management. Please go ahead, sir.
Albert Tylis: Thank you very much. Welcome to NorthStar Realty's fourth quarter 2015 earnings conference call. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs, and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company's filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The Company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Furthermore, certain non-GAAP financial measures will be discussed on this conference call. Our presentations of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with Generally Accepted Accounting Principles can be accessed through our filings with the SEC at www.sec.gov. With that, I will now turn the call over to NorthStar Realty's CEO, Jonathan Langer. Jonathan?
Jonathan Langer: Thank you Al and welcome to NorthStar Realty's fourth quarter and year-end earnings conference call. Joining me on the call today in addition to Al are David Hamamoto, our Chairman; Dan Gilbert, our Chief Investment and Operating Officer; Debra Hess, our Chief Financial Officer; Ron Lieberman, our Executive Vice President and General Counsel; and Keith Feldman, our Managing Director of Capital Markets. Before discussing our ongoing efforts to position NorthStar Realty for the future and maximizing long term shareholder value, I'd like to take a minute to discuss the global environment. Recently the public financial markets have seen a spike in volatility as the results of global macroeconomic concerns, including a slowdown in China, weakness in commodity prices, particularly oil and rising geopolitical tensions. Many global central banks, including the Bank of Japan and the European Central Bank have embarked on further rate reductions and asset purchase programs to attempt to combat low inflation and help spur economic growth. Despite this the U.S. economy has continued to improve with moderate GDP growth and a steadily declining unemployment rate, while U.S. GDP growth slowed in the fourth quarter of 2015 a strong jobs report in December had some economists expecting growth to accelerate in future periods. Also in December the Federal Reserve rate and the Federal Funds rate marking the end of a seven-year period of zero level interest rates. However, given the global economic headwinds discussed uncertainty remains regarding the timing of the next Federal Reserve action. Turning to the U.S. real estate market, we believe that the U.S. commercial real estate market remains on largely solid footing with continued strong investor demand, healthy property fundamentals across most property types and generally moderate supply growth. NorthStar Realty's operating performance remains solid as evidenced by our fourth quarter 2015 operating results. Our business continues to performance well and we are pleased with the quality and stability of our portfolio, commercial real estate and maintain a positive outlook for 2016. As you are aware, one of the hallmarks of NorthStar Realty's long term success has been our ability to be nimble and flexible with our capital and investment strategy. As such, and as we recently reported, NorthStar Realty is currently executing on two strategic initiatives. One, to prudently modify our dividend policy to levels which will produce an attractive, consistent and durable dividend with ample inherent coverage; and two, to monetize certain of our assets and take advantage of the substantial value disconnect between the private real estate values and the public valuation current ascribed to NorthStar Realty. We will use the liquidity created by these two initiatives to repurchase our common stock which we believes trades at an exceptional high discounted asset value and to repay all our portion of our recourse indebtedness. In this manner we will simultaneously create immense value for our shareholder through share repurchases while effectively eliminating potential recourse borrowing risk in our business. Many current and potential shareholders have asked about the factors we considered in determining our new dividends. In making this policy decision we were focused on the following. One, to create a payout ratio more in line with traditional equity REIT; two to set the dividend at a level which would have ample coverage, both in the near term and as we look out into the future and finally, but maybe most importantly, to retain incremental cash giving us additional flexibility to repurchase our shares to the degree pricing reflects meaningful discounts to NAV. Turning to NAV for a minute, this morning we published our fourth quarter financial supplement which includes an updated NAV analysis. We have again utilized Green Street capitalization rates for this analysis which have changed since the NAV analysis we completed last quarter. As such, the implied capitalization rate for our Hospitality segment increased by 130 basis points and the implied capitalization rates for our Healthcare segment which is a blend of the various healthcare real estate segments increased by 30 basis points. These changes account for the bulk of the NAV change from last quarter's supplement while our completed active monetizations which I will discuss below did not have a material impact. With respect to our asset monetization initiative this strategy includes the sale and/or accelerated repayments of certain real estate assets including our multifamily portfolio and a select portfolio of senior housing assets, real estate private equity fund investments and a number of other real estate loans and securities. To date, based on executed sales, accelerated loan repayments, signed contracts and other agreements and process, this initiative accounts for $2 billion of asset monetizations which will produce approximately $930 million of equity capital. Of this amount we have received approximately $600 million with the majority of the remaining $330 million to be received in the coming weeks. We are very pleased with the volume of transactions we completed and also would like to point out that we have achieved strong investment returns on behalf of our shareholders in all of these transactions. Outside of these transactions we have also hired advisors to assist on the potential monetizations of all our portions of NorthStar's Healthcare, manufactured housing and net leased real estate portfolios as well as additional sales of all our portion of our real estate private equity funds. Looking ahead on this initiative our objective is to identify and focus on monetizing assets where we can achieve attractive valuations relative to available capital redeployment opportunities and in cases where we are selling portions of assets to partner with high-quality institutions with similar investment objectives to ours. Turning again to our efforts to repurchase our stock as a means to create value for our shareholders, we continue to believe that NorthStar stock is trading at a dramatic discount to underlying net asset value. To better understand our thinking, again please refer to our most current financial supplement which calculates an NAV range by applying the most recent cap rates from Green Street to our 2016 NOI guidance. While our stock trades at such large discounts will actively seek to repurchase our stock under our existing $500 million stock repurchase authorization. Given the $180 million of stock we have purchased to date we have an incremental $382 million of capacity remaining under the program. To conclude my comments regarding our various strategic initiatives, like many other public companies we are in the midst of a dramatic increase in market volatility and are interacting with an investing universe which is placing a premium on companies to de-risk their businesses. With this said we believe these initiatives are appropriate and will firmly position NorthStar Realty for near term value creation and for continued predictable strong results over the medium and long-term. I look forward to updating you on our continued progress in the months ahead. I'd like to now take a brief moment to provide some observations on our major asset platforms. In our Healthcare real estate business we have worked hard to create a true to scale and diversified portfolio of healthcare investments with approximately $6 billion of assets in the portfolio making NorthStar one of the largest owners of healthcare real estate in the United States. Our healthcare properties are comprised predominantly of a diverse portfolio of medical office buildings, senior housing facilities, and skilled nursing facilities. Given that approximately 80% of our healthcare NOI is derived from triple-net and other long-term contractual sources, I thought I would touch on some of the underlying fundamentals here particularly in light of some of the recent investor and analysts' concerns about potential lease renegotiated through the operator issues. We focus on trailing 12-month EBITDA coverage as a helpful measuring stick for the health of our operators. Overall for our triple-net portfolio as of the last reporting period this coverage level stood at 1.6 times for our entire portfolio with none of our leases below 1.0 times coverage. Piecing this apart coverage was 1.5 times for our senior housing assets, 1.4 times for our skilled nursing assets and three times for our hospital assets. Additionally, our coverage trend over time has remained consistent with our operators generally able to increase their underlying profitability to keep up with their leases contractual rental increases which typically range between 1% and 2%. On a consolidated basis, our healthcare NOI was a $105 million in the fourth quarter. For 2016 we have issued NOI guidance of between $370 million and $377 million representing 1% to 3% year-over-year growth. These guidance numbers exclude income from the portfolio of senior housing assets which are under contract to be sold as part of our monetization initiative. Our hospitality portfolio represents our second largest real estate platform. We currently own 167 hotels with over 22,000 rooms providing geographic diversification across 26 states throughout the United States. Hotel fundamentals are largely tied to economic growth and given the uncertainty surrounding the U.S. economy discussed earlier, the overall hospitality sector has come under some pressure as evidenced by the strong sell off in hotel equity REITs in recent months. However, I'd like to make a couple points to address some concerns and to differentiator our portfolio and its performance. First, the urban hotel markets that have been disproportionately hurt by growth in new supply, most notably in New York, do not overlap with our portfolio as our assets are primary select service and extended-stay hotels located in suburban markets. We are not seeing dramatic impending supply creases [ph] in our markets with new construction pipelines presently in the 2% to 3% range as a percentage of overall supply. The growth in supply is expected to remain relatively low primarily due to the lack of efficient construction financing and increased land and construction costs. Second, our hotels being located outside of the top urban areas provide insulation from certain negative trends in the hotel space. As examples, our hotels have and will likely suffer significantly less impact from our customers increased usage of online travel agencies and air B&B as the ramifications of these phenomena are much more prevalent in major urban markets such as New York City and San Francisco. Similarly a strong dollar has had minimal impact on our portfolio given our relative lack of reliance on international travels. Hotels like ours are much more correlated with domestic business and leisure trends as compared to hotels in these primary markets. Finally, by the end of this year we will have completed major renovations on 105 of our assets or roughly two-thirds of the total asset base. These renovations began last year and in total will cost $150 million all of which was prefunded at the closing of the various transaction so that there are no funding requirements going forward. These renovations are being done in conjunction with property improvement plans or PIPs wjocj were agreed with our franchisors, who purchased the assets. These PIPs position our assets well for growth for three reasons; one, our earnings in these periods have been and will be artificially low due to rooms being off-line and to general disruption caused by these projects. Two, once completed, we expect these renovations will give us the ability to achieve higher revenue penetrations and create above market earnings growth; and three, by committing to spend this money we have been successful in executing long-term extensions to our franchise agreements, which carry both asset valuation benefits in the form of lower cap rates as well as operational benefits as we are assured of long-term relationships with the strongest distribution systems and just to remind everyone over 90% of our hotels are flagged with Marriott and Hilton brands. On a consolidated basis, our EBITDA was $61 million in the fourth quarter for hospitality. For 2016 we are projecting a range of 3% to 4% RevPAR growth with drives our EBITDA guidance range of $303 million to $308 million representing 4% to 6% year-over-year growth. Our manufactured housing platform had another strong quarter. The segment generated $31 million of NOI in the fourth quarter relative to 2014 and on a same-store basis. This reflected a 70 basis point increase in occupancy from 85% to 85.7% and an $18 or approximately 4% increase in pat rent from $473 to $491. Subsequent to the fourth quarter our revenue has continued to trend as expected with approximately 80% of our annual projected 2016 rental increases which averaged 3.5% across the entire portfolio, having taken effect with the majority of the remainder budgeted flow into the numbers by June. These increases are reflected in the 2016 NOI guidance of $127 million to $131 million representing between 3% and 6% growth. One final note before I turn the call over to Debra, there has been a good deal of noise surrounding NSAM's announcement that it is exploring strategic alternatives. So I felt it important to briefly address this today. As noted in our recent dividend press release, our Board of Directors formed a special committee which subsequently retained UBS as its financial advisor to explore potential recombination transaction with NSAM. We believe this is an appropriate step for NorthStar Realty and is reflective of our commitment to explore all avenues to create value for NorthStar Realty shareholders. We do not intend to discuss or disclose further developments during the process unless and until our Board of Directors has approved a specific action or otherwise determined if further disclosure is appropriate. I will now turn the call over to Debra.
Debra Hess: Thank you, Jonathan and good morning everyone. In an effort to continue to provide further transparency into our assets and operating performance, we added additional disclosure to our press release and supplemental presentation. This includes year-over-year same-store NOI by subsector and many key statistics by segment including occupancy, lease term, RevPAR, ADR, among others. We will continue to enhance our disclosures and are evaluating other operating metrics that maybe useful for investors when evaluating the company predominantly as an equity REIT. Actually laid in today's press release for the fourth quarter we reported CAD of $118 million or $0.63 per share. CAD was down from the third quarter primarily as a result of a few items; one, seasonality in our hotel business. As discussed by Jonathan in our previous calls the first and fourth quarters are typically the slowest quarters for hotels due to seasonality with the second and third quarters being the strongest. This seasonality contributed $16 million [ph] or approximately $0.09 per share decline for the quarter. $10 million of foregone income from the PE fund that was sold as of September 30, 2015 representing approximately $0.05 per share. Another net $5 million of incremental expense from year end has another of $0.02 to $0.03 per share. Additionally, please note that the fourth quarter only included one month of NRE prior to the spinoff which was approximately $5 million of CAD or $0.02 to $0.03 per share. As of December 31, assets were approximately $15.2 billion pro forma for the approximately $2 billion of monetization we have spoken about. Including assets of deconsolidated CDOs and investments that NorthStar Realty prior to committed supplier. As Jonathan mentioned we modified our dividend payout policy to be more in line with other equity rates. The payout ratio of approximately 63% of CAD will provide shareholders with a highly attractive, persistent and durable dividend while freeing up capital to buy back stock and reduce our corporate recourse borrowings. With respect to financial liquidity, we have approximately $914 million of potential liquidity after taking into consideration our corporate credit facility and cash proceeds we will collect in accordance with the sales. As a reminder, the tables in our quarterly financial supplement provide additional details regarding our investments and the underlying real estate access. This supplemental has been and is available on our website at www.nrfc.com. This concludes our formal remarks for today. Operator, please open up the call for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Stephen Laws of Deutsche Bank.
Stephen Laws: Hi good morning. I appreciate the opportunity to ask questions. Al, can you talk about the process here kind of timing, I know you provided a little color with regards to the monetizations of some assets, expected sale, or cap rates that any interest you received looking similar to where you've got them marked or how do they compared to your cost basis?
Jonathan Langer: Yes, so look overall we look at all the monetizations that we completed. We feel like the ultimate result is in line with our NAV expectations. There is definitely some puts and takes throughout as you might expect, but on an overall basis we're definitely pleased with where we ended up and it is consistent with our reviewed NAV going into that.
Unidentified Company Representative: Yes and Stephen I think the assets that we current have that are in process or at hired advisors we're seeing in the private market is very much consistent with the cap rates that we use to our NAV which as you know the Green Street cap rates.
Stephen Laws: Right and on the recombination potential can you maybe talk about expected timing? I know the NSAM call is here in about half an hour, but NSAM hired an advisor a number of weeks ago and that review was hopefully a shorter process and now it looks like it is obviously looking has an advisor to look at tips or combinations, is this something that should play out in a matter of weeks or months or kind of what is the expected timing of how this process is potentially going to go?
Unidentified Company Representative: Stephen, we are not going to be in a position to discuss this much more than what you’ve seen in our public announcements, but I think the focus is to run an efficient process from the standpoint of NSAM and NRF has hired its advisor and has its special committee and our board members that are not overlapping with NSAM and will focus on the interest of NRF and doing that as well in an efficient manner.
Stephen Laws: Thanks, fair enough. Debra, on the CAD, two or three things cited for the sequential change whether it was the NRF Europe for one month or some non-recurring tax issues, hotel seasonality, as we think about Q1 CAD versus Q4, what material asset sales or what significant changes should we think about that may happen on a sequential basis in Q1?
Debra Hess: Stephen, I highlighted what some of the larger items were, they got you from Q3 to Q4. At this point we are not really giving a sense of what the kind of go forward CAD will be as a result of some of the monetizations as we have announced.
Stephen Laws: Okay, I will do that as best we can with what you've announced. And lastly, on the stock buyback you have got a plan to repurchase plan in place to avoid any restricted or blackout periods whether that be quarter end or something significant maybe with an asset sale that’s not public that would possibly prevent you guys you from repurchasing stock without a say, 10b5 in place?
Unidentified Company Representative: Yes, Stephen we’re cognizant of all those issues and looking at a variety of ways to execute our buyback strategy.
Stephen Laws: Okay, well certainly seems an attractive uses of proceeds and we want to see you guys continue to buy back stock, so thanks for the chance to ask questions.
Unidentified Company Representative: Thanks.
Operator: And our next question will come from Dan Altscher of FBR.
Daniel Altscher: Hey, good morning everybody, thanks. I guess when we think of kind of a order priority kind of going forward on the liquidity front, Jonathan you mentioned debt and actually buybacks, can you maybe just prioritize one over the other what happens first what happens second or are they kind of just all simultaneous right now?
Jonathan Langer: Yes, I not sure we prioritize one over the other. Obviously our stocks remain this cheap buying back our stock remains at the top of the list. At the same time, we are very cognizant of the desire and we should all be focused on trying to take risk out of the business and so we’re going to try and find the right balance between the two.
Unidentified Company Representative: Yes, and I think the nice thing too Dan is the substantial amount of monetizations we’ve achieved in such a short period of time in addition to the number of initiatives that are in process, I think is hopefully going to provide us an opportunity to really make a dent in both, in terms of aggressively buying back our stock and as well as really taking the risk out of our business which certainly in this environment is something we think should be highly valued by the market.
Unidentified Company Representative: Yes, and Stephen [ph] I would go further than that and just say in terms of the accomplishments we have made on the liquidity front its really taking out any risk in the business. And I think a lot of this early move to really demonstrate to the market that we are in a very strong financial position. And notwithstanding that, as we’ve shown we are actively out there looking at ways to realize the NAV that’s inherent in the private bid today. But I think being in the position that we're in enables us really to make sure that if we do transact on a sale or joint venture is at a price that we really like. And so obviously, in terms of how this thing develops over the next year a lot of it is going to be a function of our judgments about capital redeployment and how we should execute. But we are in a position now that is very strong and I think that as we’ve demonstrated since we went public in 2004, we are going to be able to make the right call and figure out how to maximize value for NRF shareholders.
Daniel Altscher: So, I mean, I guess with that in mind, and look no one has a gun to your head to do either of these it seems like, but you probably want to do them in substance and in size, but given the current liquidity and given the monetizations that you’ve talked about so far, I guess more probably required to do both, paydown all the remaining recourse debt and to do the $500 million to complete the remaining $380 or is there some other capital that going back from loans repayments and then like that naturally you can just do it and then both are in place right now with what is kind of coming back or what is already there?
Unidentified Company Representative: Yes, Dan look, like I said I think we can achieve nearly all of that through the existing cash that we have as well as capital that we have coming back. I mean we got a substantial amount of return on capital that comes in through our private equity funds, there are certainly more loans that will be coming in that we feel like we can monetize or get repaid. So and then there is just the excess cash flow above our dividend which is substantial and we really build very significant NAV by simply deploying a dollar of that excess cash flow into buying our stock. I mean it’s today that is - at current levels that is a trade where $1 dividend creates more than $2 of NAV. So I think there is a lot of leverage here that we could pull a number of which we have and certainly more that we can execute on the future.
Daniel Altscher: Okay, it looks good. I do want to talk a little bit just to ask about the amendment to the credit facility. It looks like maybe the facility was amended maybe downward in size, can you just give us a little bit more color around that, your option, the bank’s option, how is that going to happen?
Jonathan Langer: Yes I mean there is some unused fees associated with the facility and in trying to take our recourse debt down as opposed to up, we concluded we won’t use anyway near the of the total capacity, so we made a simple decision to reduce it and primarily to reduce those fees.
Daniel Altscher: Okay. So I mean, it sounds like Jonathan you’re saying that it was your guided active effort to do it and that is kind of where it starts and ends?
Jonathan Langer: Yes.
Unidentified Company Representative: Yes and ultimately Dan we’re going to, that is something that we’re going to pay off and it certainly gives us more financial flexibility to execute on the initiatives that we want.
Daniel Altscher: Okay. That’s good, maybe just this is just a quick clarification and I don’t see it anywhere in the supplement necessarily but and Jonathan you talked about a little bit in your healthcare remarks, but no HCR Medicare [ph], no nothing going on with Genesys and none exposure to any of those for anything?
Jonathan Langer: Yes, I mean look we don’t have anywhere near the concentration in any of the operators like that, plus not of our operators as I mentioned are suffering from operational distress or an inability to make their lease payments, so we feel generally good across the board.
Daniel Altscher: Okay. And I understand try to get an answer around the possible potential recombination, I guess I understand this is an independent advisor and customarily doing it, but how is the NRF side thinking about that potential from a recombination side from whether it’s a stock for stock or more a cash transaction, how you are you viewing that potential as an option?
Albert Tylis: I understand the question. I appreciate the desire to get clarity on that. I think at this point it is important that the process play out. The special committee works with its advisors and figure out what is in the best interest of NRF.
Daniel Altscher: Okay, I get it. All right, thanks. I will drop back in the queue.
Operator: And our next question will come from Jade Rahmani of KBW.
Jade Rahmani: Good morning and thanks for taking the questions. Regarding asset sales those that have been consummated to date including the ones that have not yet closed, will you be booking gains on those, should we expect gains to run through the income statement?
Debra Hess: I don’t expect any substantial gains to come through. I think they are close to our carrying value.
Jade Rahmani: Okay. In terms of quantifying the earnings impact, would you care to provide any color about how we should think about that, for example the PE investments are quite high yielding, that is one example, but overall earnings impact?
Jonathan Langer: I mean I think Debra, you didn’t comment on this further, we can talk more offline, but obviously we talked through the earnings loose [ph] from the PE portfolio that we sold and Debra commented on that. I think outside that Debra, I’m not sure how much more color is provided.
Debra Hess: We haven’t provided much more color.
Albert Tylis: And Jade, I think the other thing is the impact on earnings will be largely predicated on what we’re doing with that capital. Right? And so certainly buying back our stock at these levels is probably far in a way more accretive than the yield we are running on any of the assets we sold. Conversely paying down debt obviously has a different impact, but clearly from a risk profile also has a meaningful advantage. So it will depend on the timing and the allocation of that capital.
Jade Rahmani: And are there any tax and other friction costs we should anticipate, any one-time charges or tax consequences?
Jonathan Langer: No, in other words the business, the $933 million of cash is a true net number.
Jade Rahmani: And in terms of that number and the liquidity figure you've provided I think the $338 million of additional proceeds to come through in over what timeframe will that happen?
Jonathan Langer: Yes, I mean I think the bulk of that we expect to come into the next weeks if not a month and I think there may be some residual portion that is more of an April timeframe event. But it is all pretty near term.
Jade Rahmani: In terms of real estate fundamentals, can you just comment on supply in your market and where in particular you see it as being a headwind? And on the CapEx side if you’re ratcheting up CapEx spend as a result to make your products that more competitive as some of the healthcare REITs have said?
Jonathan Langer: You are talking about healthcare now or just generally?
Jade Rahmani: I think here on the major fruit groups, but healthcare I guess as a starting point?
Jonathan Langer: Yes, so look on healthcare like a lot of the other healthcare companies out there we focus on NIC provided data and NIC provides pretty good data on the top 99 MSAs in the country in terms of supply and new construction. And so we’ve done, we’ve done the analysis where you map and you create radiuses, five pharma radiuses around your assets and you isolate how much new supply is happening within those radiuses. When we get that analysis we come up with about 3.4% to 3.5% impact as a percentage of the total healthcare NOI that is impacted in those 99 MSAs. And so from a healthcare perspective, we feel like we are generally in line with our competitors and we feel generally pretty good, occupancies which we trended up quarter-over-quarter were certainly in the certain markets there is puts and takes so it is not going to be completely immune to some of these trends, but we feel generally in a good position there. From a capital expenditure perspective in healthcare, well you know we go through pretty normal capital expenditure cycles. We are not showing anything special to try and act in the defensive measures against supply. In hotels, I touched some of this a little bit in the remarks, we tend to not be in these higher ADR markets that are attracting most of the capital for new supply. So supply is generally moderate in our suburban markets in first our selectors portfolios. Also the brands that we have, the Marriott and Hilton flags provide us some protection. You basically get areas of protection when you have these flags. They can't put another similar flag near you because we have the best distribution systems. It also provides some defensive measures as well. And then hotels obviously we are spending $150 million. It was sort of forced expenditure, sort of enforced by the brands, but from our perspective it is going to put us in a much stronger position once they are complete as I described during the remarks.
Jade Rahmani: And how much of that has been previously reserved for?
Jonathan Langer: All of it, the way these deals work you have to funnel that money in the cash flow upfront. So we actually have, I am not sure how much is left, it is probably about half of that let’s say that $150 million that is sitting in the bank that is not part of our liquidity that we talked about. That's restricted cash and it can only be used for that one purpose.
Jade Rahmani: So I guess to get to some kind of AFFO proxy what additional assumption would you make, would you suggest we make for maintenance CapEx?
Debra Hess: Hey, so I have taken a look at what might be considered maintenance CapEx based on our budget for 2016 and substantially all of that is going to be non-recurring or revenue enhancing. I would say the number just based on kind of where we sit today and that includes everything including some of the assets that we may sell such as [indiscernible] is looking at maybe $10 million which is not going to be that material of a number when you look at it on a per quarter basis.
Jade Rahmani: $10 million per quarter in terms of maintenance CapEx?
Debra Hess: No, no, no in the aggregate, maybe you can call it and just to be a little conservative maybe, oh I’m sorry, yeah I’ll just clarify. This excludes hotels. Right? Because Jade, as we've discussed before, hotels are not, hotel REITs do not report any sort of maintenance or recurring CapEx as part of its metrics, but if take out hotel and look at everything else I think that number is call it, $10 million maybe a little bit more across all of the other asset classes for the entire year including those assets that we could potentially sell like the MH [ph].
Jade Rahmani: Okay and on the hotel side is there anything beyond the $150 million that you guys have already reserved for?
Debra Hess: No, I don’t expect anything really that much beyond what we have reserved for. There might be a little bit, but not that much. But you know, but you know Jade, you know that right, every year there is a percentage that comes out of your revenues for FF&E reserve.
Jade Rahmani: Yes.
Debra Hess: Okay so I’m ignoring, I’m putting aside the FF&E reserve. I’m talking more about the CapEx.
Jade Rahmani: Okay, thanks for taking my questions.
Operator: Our next question will come from Matthew Howlett of UBS.
Matthew Howlett: Thanks for taking my question. Just on the minority interest on the health care, could that be a highest 49% or can you guess sort of what percentage you looking to sell?
Albert Tylis: Yes, we are looking at something substantial Matt, so certainly as much as 49%.
Matthew Howlett: Okay. Now, a question I want to ask, what do you guys plan on doing also what is the strategy a year from now if you get above book and then in internalize, but before that, I mean we look at the see you pay off your recourse leverage, you just have the nonrecourse noise yet, I mean how high periodically they start those below book, where are you comfortable with taking leverage or if are you just keeping buying back stock the market is going to give you discount, where do you feel that you could go with that? I mean how do you, maybe just kind of tell us again how you'll look at that mortgage debt most of it is 5 plus your term debt?
Albert Tylis: Sure Matt, look we have always we have had lots of conversations over the years around leverage and I think our view has always been the market over simplifies it and when we have your nonrecourse, non cross collateralized diversified mortgages, the general outcomes of those from the standpoint of a borrower are very much positive over the years. And what we have always been focused on is what is the risk to the enterprise? What’s our recourse debt? And even today our recourse debt stands at a mid single digit percentage of assets which is far below most equity REITs and with the intention of taking that number nearly to zero. And so we feel very comfortable from the standpoint of how we operate our business and just from a risk standpoint that having zero or little recourse debt and only having compartmentalize nonrecourse mortgages is a great risk profile for our business going forward.
Matthew Howlett: Go ahead.
Jonathan Langer: You know, I think I have mentioned this coverage levels inherent at with the secured debt is very strong across all the platforms and getting stronger as NOI grows.
Matthew Howlett: Got you. And just with all the volatility in the CMBS market I think maybe some people are looking, maybe looking as far as five, six plus years, but you feel comfortable that that market will stabilize and then you can deal with that down the road if you have good performing properties. Is that sort of how we should look at it?
Albert Tylis: Absolutely, and look the good thing is from our standpoint we have no need to access the CMBS market for a number of years.
Matthew Howlett: Got you, okay and leads me to the followup, even if you do monetizing all of your assets, buying back stock, maybe even internalizing the manager a year from now with some of these sales, does NorthStar become sort of NorthStar of the old, you originate more senior loans or I mean, how do we look at what NorthStar becomes a year from now after you go through this process?
Albert Tylis: Yes, I think the, as I said earlier, I mean what NorthStar becomes a lot of it is going to be a function on what the market opportunities are and I think that what we've tried to do in the last couple of days is articulate sort of our near term strategy and give people confidence that we have a balance sheet and fundamentally strong real estate and we're going to figure out in this volatile capital markets environment how to maximize value for our shareholders. And so predicting exactly how the company will be positioned 12 months from now I think of is a of it is going to be a function of what the market opportunities are.
Matthew Howlett: And still hotels, healthcare all that is still in the game and you still have a senior lending business that could pick up all that you'll just rotate where you see the opportunity or just sort of nothing has changed really, is that's how we look at it?
Albert Tylis: Yes, I think though, I mean we've also as part of this though tried to simplify our business and stick to certain food groups and be more transparent in terms of how we present so people can understand the data more clearly. So I think while there is clearly an affect of okay how we're going to make the most money on the capital that we have, I think we're also sensitive to some of the issues that exist in the public markets about transparency and simplicity and making sure people can understand the story. So everything is – it is an ongoing balancing act and know we feel like we're very well positioned to demonstrate our ability to create value for shareholders.
Matthew Howlett: I appreciate that, I look at the discount just being to NAV being compelling, so I really commend you guys on the new strategy in place. Thanks a lot.
Albert Tylis: Thank you.
Operator: [Operator Instructions] Your next question will come from Mitch Germain of JMP Securities.
Mitch Germain: So, on the multifamily sale I know that you guy were looking at a portfolio. Was this just a function of breaking it up, was it able to maximize proceeds?
Jonathan Langer: Yes, that was a more optimal way to approach it as opposed to going with one buyer.
Mitch Germain: Great, the hotel refresh, just what is the timing on when that process is going to take place?
Jonathan Langer: Yes, so that was a two-year process generally speaking that at the end of this year 2016.
Mitch Germain: Okay, so it is ongoing as we speak, I got you. And then to jump in how should consider seasonality in that portfolio on a go forward basis?
Jonathan Langer: The seasonality of this portfolio we're strongest in the second and third quarters and we are weakest in the first and fourth. That will happen in the fourth quarter in terms of result is very standard with respect to what has happened historically both for our business and for other businesses that have similar assets.
Mitch Germain: Got you, and then just I think just, I think Debra, you kind of alluded to it, but no special dividend implications from the sales in your mind?
Debra Hess: Not at this time, no.
Mitch Germain: That's it from me, thanks.
Albert Tylis: Thanks Mitch.
Operator: And our next question will come from Jason Weaver of CRT Capital.
Jason Weaver: Hey, good morning. Thanks for taking my question. First the USA is very positive [indiscernible] announced yesterday so Jonathan we really appreciate your color on that. What can you tell me about how you are baking up the pace and use the proceeds as well as what your sort of minimal level of liquidity you want to maintain during the process?
Jonathan Langer: I'm sorry, can you repeat the question Jason?
Albert Tylis: It was hard to hear you Jason.
Jason Weaver: Mainly about how are you thinking about the pace of using proceeds of the assets sales to repurchase shares and to paydown debt versus what sort of minimal levels of liquidity you would like to maintain doing that?
Jonathan Langer: Yes, look, I mean we're going use the pace that we think is appropriate for the opportunities as we see them and from a liquidity perspective – we're going to remain maintain appropriate liquidity obviously at all times, but I don’t think we've come out and said this is a number. We're going to be moderate and conservative as we view that obviously.
Jason Weaver: Understood. So I was thinking about the – how you are thinking about the lending business with the elevated volatility in the CMBS and other commercial real estate lending markets, what are you seeing as far as opportunities out there and if it's in enhanced and also what your appetite is for what looked like an enhanced opportunity for your transitional lending product?
Albert Tylis: Hey Jason, it is Al. Look, clearly there are broad opportunities and we think more can come in the lending business, but clearly those are not thinks that any of us would be entertaining and our capital is going to be used for buying back our stock that is by far the best use as well as taking down leverage.
Jason Weaver: Fair enough. And finally, we've heard some investors that are confused or a little bit critical of their use of CAD for primary metric for a while now. Since you are moving in the direction in a lot of respect more to the operation of the trends are traditionally weak. Have you given any thought to also reporting an AFFO figure?
Debra Hess: Yes, absolutely. We filed that and we're thinking about it and we continue to evaluate metrics every quarter as to how to enhance the reporting of our portfolio in our business.
Jason Weaver: Okay, thank you so much. Thank you for taking my questions.